Operator: Good afternoon, ladies and gentlemen, and welcome to the OncoGenex Third Quarter 2013 Financial Results Conference Call. My name is Janine. [Operator Instructions] As a reminder, today's conference call is being recorded. At this time, I would like to turn the call over to Susan Specht, Senior Director, Investor Relations with OncoGenex Pharmaceuticals. Please go ahead.
Susan Specht: Thank you, and thanks, everyone, for joining us. With me today from OncoGenex are Scott Cormack, Chief Executive Officer; Susan Wyrick, Principal Accounting Officer; and Jaime Welch, VP of Marketing and Corporate Communication. Cindy Jacobs, our Chief Medical Officer is traveling. Before we begin, I'd like to remind everyone that today's conference call contains forward-looking statements based on current expectations. These statements are only predictions, and actual results may vary materially from those projected. Please refer to OncoGenex's documents filed with the SEC concerning factors that could affect the company, copies of which are available on the website. I'll now turn the call over to Scott.
Scott Daniel Cormack: Good afternoon, and thank you for joining us. We will be implementing a new format for the call today in order to address commonly asked questions and to respond to inquiries that have been submitted recently via the IR page of our website. Instead of holding questions until the end of the call, we will open the line up a few times throughout the discussion, and I'll take questions. I'd like to begin by addressing questions we have received regarding the Phase III SYNERGY trial evaluating custirsen in combination with docetaxel for men with metastatic castrate-resistant prostate cancer or CRPC. We're frequently asked why we believe in the potential of custirsen and specifically in the SYNERGY trial when several agents have failed in combination with docetaxel. Quite simply, it comes down to 2 reasons. First, custirsen is unique because of its mechanism of action. Second, there are robust Phase II data in support of the Phase III trial program. I'll first address my mechanism-of-action reference. Custirsen is designed to block the production of the protein clusterin which is overexpressed in a number of cancers. Clusterin stabilizes and supports cancer cells and is upregulated during times of cell stress, for example in response to treatment such as chemotherapy. The more stress or treatments that tumor cell experiences, the more clusterin that can be produced as a result. Inhibition of clusterin is linked to a delay in cancer progression, treatment resistance and tumor growth. When you add custirsen to docetaxel, you are not combining 2 cytotoxic agents, as we've seen in other failed Phase III trials. In the case of the SYNERGY trial, you're combining docetaxel with custirsen. Recall that custirsen is an agent that is designed to disable a natural defense mechanism by which patients are becoming resistant to chemotherapy. Docetaxel is a proven therapy that has been shown to extend survival and improve quality of life, and the goal of custirsen is to improve upon the proven. That leads to the second reason for our belief in our Phase III program: The robust Phase II data supporting the SYNERGY trial. In the randomized Phase II trial, a 6.9-month improvement in survival for custirsen plus docetaxel versus docetaxel alone was observed. We and others have interrogated these [ph] data and haven't come across a reason to disbelieve the results, and so we have confidence in those results. With SYNERGY, we are essentially repeating the same study design but obviously with more patients. We continuously receive questions about the timing and announcement of the SYNERGY data. I'd first like to emphasize that we and our partner Teva remain blinded to all SYNERGY data and analyses. The planned efficacy interim analysis per SYNERGY has not yet occurred. Once the interim analysis has been conducted and the Independent Data Monitoring Committee, or IDMC, has provided their findings, we will provide an update. Regarding the final survival analysis for SYNERGY, we continue to expect them by mid-2014. However results could be announced sooner depending on the results from the interim analysis. It should be noted that the criteria to achieve statistical significance at the interim analysis is considerably more stringent than the criteria required for the final analysis. I'd now like to discuss the implications of the positive Phase III XTANDI interim trial results announced 2 weeks ago. We have received numerous questions as to how the expected use of antiandrogens specifically in the prechemo setting will impact the use of chemotherapy and the market potential for custirsen. Similarly we have received questions about whether we view these agents as competitors for custirsen. As I've previously stated, the goal of custirsen is to improve upon the proven, and we believe this is not limited to just chemotherapy. We do not view these new treatments as competitors, and in fact, preclinical data have been published demonstrating a synergistic effect when custirsen is added to radiation therapy and antiandrogen, such as XTANDI. Importantly positive data and the approval of new agents means more treatment options for patients, and obviously, that is our collective goal. Unfortunately however, despite the introduction of these new treatments, a majority of men are not being cured of prostate cancer and will eventually experience treatment resistance to these antiandrogens and require additional therapies. At this point in this disease, chemotherapy is a rational and expected course of therapy because it has a very different mechanism of action than antiandrogens. With over a decade of experience with docetaxel, oncologists are very comfortable administering chemotherapy to patients with advanced prostate cancer. In addition to the scientific rationale to switch therapies based on a mechanism of action, there continues to be a significant period of time that patients are eligible to receive docetaxel. While XTANDI and Zytiga have extended overall survival and delayed time to progression, once patients do experience progression, the time to death continues to report around 19 months. This is the same as the time of docetaxel treatment initiation to death seen 10 years ago in the regulatory trials of docetaxel. Therefore we believe the market opportunity for chemotherapy remains unchanged, and the biology of custirsen is now even more relevant, given the additional treatments and stress response I discussed earlier. We've also received inquiries regarding the Teva partnership and more recently the resignation of Jeremy Levin as their CEO. Our partnership with Teva was established long before Jeremy's arrival at Teva, and the partnership is with the company, not a single individual. The partnership with Teva remains in effect and unchanged, and our relationship with our collaboration team is as strong as ever. So we expect business to continue as usual. Teva has committed substantial resources to the development of custirsen, and all parties are fully engaged to prepare for potential regulatory filings next year. I think that covers the key questions we have received regarding custirsen. However if there are others, I will open up the line now and take those. Janine, if you would mind just doing a quick break and taking questions from the audience.
Operator: [Operator Instructions] And the first question is from Howard Liang of Leerink Swann.
Howard Liang - Leerink Swann LLC, Research Division: I don't know if you can get into this, but just may be if you can expand on the interim analysis, just the nature. I think there is a futility component as well, maybe you can talk about any details on what the hurdle might be? And the number you have, any details on that will be helpful?
Scott Daniel Cormack: So we are not able to give any specific details around the interim analysis or the final with regards to the number of events or details around the statistics. But I can help a little bit perhaps in your other part of the question with respect to futility and efficacy. So as you may recall from our last discussion, there are 2 -- there were 2 planned futility assessments that were previously cleared through the IDMC and recommendation to go forward. The analysis for the interim efficacy is a true efficacy analysis where if it passes the prespecified boundaries for efficacy, then we'd have an opportunity to do an earlier filing with regulatory bodies throughout the world. So it is a true efficacy interim, but we haven't given the specifics on what those criteria are at that -- at this point. Although as I'm sure you could recognize, the interim efficacy hurdle is higher than it would be for the final because you want to be sure that the activity that you are seeing is not a false positive. So it does have a more stringent bar for that interim analysis.
Howard Liang - Leerink Swann LLC, Research Division: Do you have a projection as to when the interim analysis might occur?
Scott Daniel Cormack: We haven't given guidelines on the timing either.
Operator: The next question is from David Nierengarten of Wedbush Securities.
David M. Nierengarten - Wedbush Securities Inc., Research Division: So my question would be, if you could refresh our memory on what host-progression treatments are allowed in the clinical trial? And then I have a followup on that.
Scott Daniel Cormack: Yes. So there is not a protocol restriction on what patients would be able to receive after they are treated, as you can expect. As patients go into a progression environment, they would and should have access to the available therapies that would normally be available to individuals outside of a treatment paradigm.
David M. Nierengarten - Wedbush Securities Inc., Research Division: And then, given the seeming shrinking difference in the XTANDI overall survival curve relative to what folks may have expected to placebo there despite the benefits of PFS, do you think that has some bearing on the potential outcome for your survival curve?
Scott Daniel Cormack: Are you referring, David, to the prechemo environment or the post?
David M. Nierengarten - Wedbush Securities Inc., Research Division: Actually to the prechemo, to the prechemo trial. I know it's a different setting with you, but presumably some of the prechemo patients progress to chemo and beyond. Do you see any potential for a similar narrowing of the survival benefits than your trial design?
Scott Daniel Cormack: No. It's an interesting one. That's what -- where I was making the reference to the previous studies and specifically the TAX 327 study that was the registration study for docetaxel. If you recall, that study had reported survival in around the 19-month mark, I think it was about 18.9 months, if I recall correctly. And then if you look at both the Zytiga prechemo study and the XTANDI prechemo study, in both circumstances, the reported survival from radiographic progression to death was 18 and 19 months, respectively, in those studies. So it would seem that, if that is the demarcation for where patients would be eligible to begin chemotherapy, radiographic progression, it seems that, that survival period is pretty much the same as it was 10 years ago. So while these agents are certainly adding survival time, it seems like it's a delay to the event to -- opportunity for chemotherapy, but once they get into that progression environment, to the point where they pass away, it looks like that time period is the same. So I think our opportunity is pretty much unchanged from what it has been.
Operator: Your next question is from Stephen Willey of Stifel.
Stephen D. Willey - Stifel, Nicolaus & Co., Inc., Research Division: Just with respect to the 19-month number that you referred to from TAX 327, I believe most of the other kind of failed Phase IIIs that we see print whether it be aflibercept or desatinib, they've all kind of had a chemo-only arm in the 22-month range, is that correct?
Scott Daniel Cormack: Yes, that's right. They generally are between 21 and 22. I think, the controls are coming in just under 21.5 or thereabouts.
Stephen D. Willey - Stifel, Nicolaus & Co., Inc., Research Division: And so those were obviously studies that were really not conducted in the context, but at the postchemotherapy. So would you kind of -- would you view the consistency of those other chemo-only arms versus historical TAX 327 data as just being an improvement in best supportive care, that 2- to 3-month bell curve that we're seeing?
Scott Daniel Cormack: I think a little bit of us feel the contribution of the current therapy being approved. In the case of at least one of those trials, there is a pretty good proportion of patients that do go on to secondary therapies or follow-on therapies, specifically around half of those patients do go and around 1/3 ended up on Zytiga actually. So there is -- I think that's a pretty decent proxy for what we're expecting to see in the SYNERGY trial. Although as you can well imagine, it depends a little bit on geographies and treatment practices in different countries and availability of these therapies given timing. But I think that's kind of where we're expecting that somewhere around that 21 months. And that's what we're talking to in the last -- in our second quarter conference call. That we had modified our model to expect survival somewhere around that 21-month range, and that's where we said that the events are continuing to progress slower than that projected model, even with that modification.
Stephen D. Willey - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then, do you plan on actually press releasing when the interim gets triggered?
Scott Daniel Cormack: Yes, so the -- we would let the market know an update after the interim has occurred. And again, just for clarity on the interim, if the interim is deeming that we're going to go to a final, we won't actually have any additional information with regards to the specifics of the data. And that's an important point. We obviously won't know the survival medians. We wouldn't know the hazard ratio. We wouldn't know a bunch of those things, and of course, that means we ultimately remain blinded. It's only in the event that it is deemed that we've crossed the boundary, and in which case we would know some more specifics around that. So in the event that we continue to final, we really won't know an awful lot other than it obviously didn't hit the higher threshold that was established for the interim analysis. And again, just want to reemphasize what I had said during the previous statements, that interim analysis as is true of I think most interim analysis has a pretty high bar for stopping because you don't want to stop a trial when you have a false positive. So it does have a pretty high threshold for stopping.
Scott Daniel Cormack: Okay, great. I think we will go ahead and move on to the questions regarding development plans for the unpartnered product candidate, apatorsen. If there are other questions respecting custirsen, we certainly will have an opportunity as we go forward in the discussions to field those questions as well. So a question was submitted via the website regarding the apatorsen bladder program and our path for regulatory submission following the data from the Borealis-1 trial. As a reminder, as part of the ORCA program, we are evaluating apatorsen in 2 Phase II trials in advanced bladder cancer. Borealis-1 is our company-sponsored randomized placebo-controlled Phase II trial of apatorsen in combination with first-line gemcitabine and cisplatin in patients with metastatic bladder cancer. This trial completed enrollment of 183 patients in July. In Borealis-2, which is currently enrolling, is an investigator-sponsored randomized Phase II trial evaluating apatorsen in combination with docetaxel in approximately 200 patients with metastatic bladder cancer who have disease progression following first-line platinum-based chemotherapy. We expect results from the Borealis-1 trial in the second half of 2014, and assuming this is positive, we will initiate discussions with regulatory agencies to pursue a registration path. Similar to custirsen with a robust Phase II program, we are hopeful that only 1 Phase III trial will be required. However it is too soon to speculate on the regulatory requirements. Also submitted on the website was a question regarding the timing of the Pacific trial data. Pacific is an investigator-sponsored randomized open-label Phase II trial evaluating apatorsen in approximately 80 men with CRPC, who are experiencing a rising PSA while receiving Zytiga. This trial is currently open to accrual. The evaluation, submission and presentation of preliminary data will be at the discretion of the investigators. We really can't comment as to if or when interim data will be available. Importantly we have 2 material events on the horizon. Final survival data for SYNERGY and Borealis-1 are both expected in 2014. I'd like to open up the line again for any further questions you may have specific to apatorsen. Janine, if you could please queue the listeners again.
Operator: [Operator Instructions]
Scott Daniel Cormack: Again if we don't have questions during this phase, we certainly can field -- there will be one more opportunity at the back end of the discussion. So, Janine, in the interest of time I think we should probably just move forward. I'd like to clear up...
Operator: Sorry, I'm showing no questions in the queue.
Scott Daniel Cormack: Thanks, Janine. I'd like to clear up any confusion regarding our management team executives selling shares now. The terms of our grants of restricted stock units, or RSUs, provide that on each vesting day for an RSU award, a portion of the shares will be automatically sold without discretion by the employee to cover withholding taxes associated with the vesting event. The shares that were sold in March and August were used to cover applicable taxes. These sales were not discretionary transactions by OncoGenex's executives. The cash went directly to the company to cover the withholding tax and protect the company from tax liability on behalf of the employee. Regarding questions about management's interest in purchasing shares, you should be aware that we are subject to blackouts related to the timing of quarterly financial results and periods where we may be in possession of material, nonpublic information, including as we approach key data events. These blackouts prohibit buying or selling shares. It may be worth mentioning at this point, that I remain one of the top 20 shareholders of OncoGenex. Moving onto address questions about our cash position, we have a staff of just over 40 people and considerably lower infrastructure costs than many biotech companies. Most of our clinical trials with apatorsen are investigator-sponsored and substantially less capital-intensive than company-sponsored trials. And custirsen trial expenses are fully reimbursed by Teva. You will read in our 10-Q filed today that while we do have an ATM in place, we have not drawn on that facility since it was put in place. Finally while I cannot comment specifically on the stock-pricing activity, I do want to highlight that we have sufficient cash to fund our operations into 2015, and more importantly, through the expected release of final survival results from both the SYNERGY and the Borealis-1 trials. I'll now turn the call over to Susan Wyrick, who will provide an overview of the third quarter financial results. Susan?
Susan Wyrick: Thanks, Scott. We ended the third quarter of 2013 with approximately $46.8 million in cash, cash equivalents and short-term investments. Revenue for the third quarter of 2013 increased to $9.9 million compared with $6.6 million for the prior year quarter. Revenue for the 9 months ended September 30, 2013, increased to $21.3 million compared with $10.3 million for the same period in 2012. The increase in both periods was due to higher revenue earned through our collaboration with Teva, largely resulting from clinical development activity associated with the AFFINITY trials. Total operating expenses for the third quarter of 2013 increased to $20.5 million compared with $14.9 million for the same period in 2012. Total operating expenses for the 9 months ended September 30, 2013, increased to $49.6 million compared with $30.1 million for the same period in 2012. The increase in both periods was primarily due to higher clinical trial expenses associated with patient treatment and enrollment in the AFFINITY and Borealis-1 trials, increased costs related to our investigator-sponsored trials, increased headcount to support our clinical development activities, and toxicology expenses related to apatorsen and OGX-225. These increases were partially offset by lower manufacturing expenses due to the timing of apatorsen-manufacturing activities. The net loss for the third quarter of 2013 was $10.1 million or $0.68 per diluted common share compared with $5.9 million or $0.40 per diluted common share for the prior year quarter. Net loss for the 9 months ended September 30, 2013, was $25.2 million or $1.72 per diluted common share compared with $17 million or $1.29 per diluted common share for the same period in 2012. The net loss in the 9 months ended September 30, 2013, included a noncash gain on revaluation of our warrant liability of $2.9 million compared with $2.5 million in the prior period. Before completing our financial review, I'd like to update guidance for 2013. Net cash requirements for 2013 are expected to be at the lower end of the previously provided range of $40 million to $50 million reflecting AFFINITY costs, which are reimbursed by Teva quarterly in arrears as well as the majority of the costs for Borealis-1. Year end cash, cash equivalents and investments are expected to be at the higher end of the previously provided range of $25 million to $35 million. We continue to expect that this estimated year end cash balance and the fourth quarter receivable from Teva will be sufficient to operate the company into 2015.
Scott Daniel Cormack: Thanks, Susan. We have had questions regarding how our cash position of $46.8 million can fund all of the activity into 2015. As mentioned previously, we have a staff of just over 40 people, most of our clinical trials with apatorsen are investigator-sponsored trials, and the custirsen program expenses are fully reimbursed by Teva. Most importantly, we have the cash to fund operations through the expected release of final survival results from both the SYNERGY and Borealis-1 trials. To conclude, we hope that we have addressed your questions. Any feedback that you have on this new format would be greatly appreciated. We're very excited about the potential of both custirsen and apatorsen as we move forward into 2014, our most critical year. The execution risk for our company-sponsored trials is now behind us. We have resources to support our programs into 2015, and we remain focused and committed to delivering on our goals. Thank you again for joining us. Operator, let's go back one more time to see if there are any final questions.
Operator: [Operator Instructions] Your first question will be from Katherine Xu of William Blair.
Filippo Petti - William Blair & Company L.L.C., Research Division: This is Fil calling in for Katherine. Scott, quick question, just to get a better sense with -- talking about SYNERGY, have you provided any details in terms of how the enrollment -- the kind of enrollment between the U.S. and x U.S. sites, and I guess the numbers behind that?
Scott Daniel Cormack: Thanks, Fil. We haven't given the specifics of numbers of patients on the geographies. But what we did indicate in previous calls was that about 2/3 of the sites are x U.S. So that would be in other geographies, including, obviously, Canada and parts of Europe, though for the most part excluding Eastern Europe.
Filippo Petti - William Blair & Company L.L.C., Research Division: Great, I appreciate that color. And in terms of AFFINITY, just wanted to see how enrollment was going there, and if you have any updates from that study?
Scott Daniel Cormack: Yes, again, we don't give any specifics on the play-by-play with respect to accrual, but we are pleased with the accrual of AFFINITY. That trial is moving along as we would expect, as well as bringing patients into that, which I think is a testament to the interest in second-line chemotherapy.
Filippo Petti - William Blair & Company L.L.C., Research Division: And still, I guess the timeframe of completing enrollment by the end of next year?
Scott Daniel Cormack: That's correct.
Filippo Petti - William Blair & Company L.L.C., Research Division: Okay, great. And then just kind of switching gears a little bit from knowing that the custirsen program is also a non-small cell lung cancer, and you know we've talked about ENSPIRIT previously, but PD-1 has been making a lot of noise there, and I just wanted to kind of get your thoughts on PD-1 versus chemo. There's a lot of big pharma playing in that space now, a lot of studies being initiated. Just wanted to kind of get your thoughts on how you see the landscape kind of changing with the agents?
Scott Daniel Cormack: Yes, I think that's a great question, Fil, particularly as it pertains to landscape. There is clearly a lot of interest in PD-1 inhibitors generally in that landscape. As you know, we've kind of looked at this from an approach of what is in the marketplace now as far as the chemotherapy opportunities and watching how the landscape may shift with respect to some of these other agents and specifically targeted agents as we move towards more medicines that are directed to different phenotypes. So at this point, we haven't followed a pathway to say we're going to go after -- in combination with PD-1 or sulfur [ph], or anything like that, there would have to be more evidentiary preclinical work to do. I think there remains a very large market opportunity for as you know custirsen is being combined with docetaxel in the second-line setting, which remains a pretty substantive marketplace. When we did that analysis, what we identified was that as a second-line opportunity for chemotherapy, pretty much all geographies of interest when we're looking at that analysis are using that as a primary strategy for second-line treatment. And we will continue to monitor those markets and the landscape shift as it occurs in the non-small cell lung, but at this point we remain committed to what is an 1,100-patient Phase III trial in combination with second-line dose of docetaxel and second-line chemo.
Filippo Petti - William Blair & Company L.L.C., Research Division: , Sure. I appreciate that. And then, in terms of accruing patients, you haven't really seen any, I guess any kind of effect from these kind of studies, given being launched, and obviously, there's plenty of patients out there, unfortunately, but just wanted to kind of get your thoughts on that as well?
Scott Daniel Cormack: Yes, I got it. To your point, unfortunately, there are a lot of patients, particularly in the non-small lung disease category, and the ENSPIRIT trial continues to enroll at a nice rate. I am very, very happy with its accrual rate and really not much more that we could comment on that particular trial, but it is going well.
Operator: Your next question is from Stephen Willey of Stifel.
Stephen D. Willey - Stifel, Nicolaus & Co., Inc., Research Division: I know, Scott, I think you've talked about before obviously wanting to keep, 427, I forgot what the name of it -- it's at the top of my head...
Scott Daniel Cormack: , Apatorsen?
Stephen D. Willey - Stifel, Nicolaus & Co., Inc., Research Division: Apatorsen. Keeping that is kind of more of a wholly owned asset at least in the near term, but I think you kind of attest to the fact that sometimes in this business development arrangements take a long time to play out, so I'm just kind of wondering as you think about getting the Phase III data here maybe this year, I guess, does that influence your decision on what to do with apatorsen, and specifically I guess does that kind of incentivize leads maybe initiate those conversations on the [indiscernible] front a little bit sooner?
Scott Daniel Cormack: It's a really good question, Stephen. Thank for that. We were very aggressive, I would say, with respect to communicating with potential partners in the big pharma industry, in particular, and I would say big biotech as well. Obviously, we maintain confidence of things that we don't want in the general marketplace, but absolutely have conversations with pharma about the status of the generally the ORCA program under apatorsen, where we're at with respect to accrual. And some groups would obviously be under CDA, so they'd have a little more access to specifics. But it's something that we have always embraced to ensure that potential partners are aware of what we're doing with that program. And it does serve exactly to your point depending on how things migrate in the field. You get different shifts in the landscape, and companies will take different interest to bolster their marketplaces, and so we want to make sure that we have our asset in the front row since they are aware of what we're doing, so that it may fit into their portfolio. That said, as we've commented in the past, we do have the dollars to execute on a fairly robust Phase II program including the 7 randomized Phase IIs that we have in 4 separate indications, so the interest there is to get as much data and demonstrate as much proof of concept that this product candidate has a very broad opportunity, and we will continue to execute on that strategy, and weave in with that the results that we may see under the custirsen program as we go forward. It's certainly not blind to watch to us that as we go forward with custirsen, in particular, with survival results coming up in the not-too-distant horizon, that starts to feed into opportunities to draw milestone payments and obviously if it's successful, royalty payments and the like, which then changes your whole dynamic with respect to your ability to develop a fairly robust program with apatorsen. So we move all those pieces around the board on a regular basis, but always keep big pharma up to speed as to where we are at in the development cycle.
Operator: [Operator Instructions]
Scott Daniel Cormack: All right, I think we can probably close this off at this point. We really do hope that you've enjoyed this new format. We've tried to embrace an opportunity to not only have conversation in amongst the discussion points that we're having as we go through these calls, but more in particular an ability to submit questions into our IR webpage site so that we can also communicate with people that may not be on the phone and be able to field these important questions as we move forward into the balance of this year and into 2014. So please do provide comment to us whether you have a preference for this kind of format because we would sure like to embrace it. Again thank you very much for the opportunity to chat today, and we look forward to the next update.
Operator: Ladies and gentlemen, thank you for participating in today's program. This does conclude the presentation, and you may all disconnect. Everyone, have a great evening.